Operator: Good afternoon. Thank you for joining today's call. With me today are George Colony, Forrester's Chairman of the Board and CEO; Kelley Hippler, Forrester’s Chief Sales Officer and Mike Doyle, Forrester's Chief Financial Officer. George will open the call. Kelley Hippler will follow to discuss sales. Mike Doyle will then follow Kelley Hippler to discuss our financials. We'll then open the call to Q&A. A replay of this call will be available until May 26, 2018, and can be accessed by dialing 1-888-843-7419 or internationally at, 1-630-652-3042. Please reference the passcode 6026889 followed by the pound sign. Before we begin, I'd like to remind you this call will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Words such as expects, believes, anticipates, intends, plans, estimates or similar expressions are intended to identify these forward-looking statements. These statements are based on the Company's current plans and expectations and involve risks and uncertainties that could cause future activities and results of operations to be materially different from those set forth in the forward-looking statements. Some of the important factors that could cause actual results to differ are discussed in our reports and filings with the Securities and Exchange Commission. The Company undertakes no obligation to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise. I'll now hand the call over to George Colony. Sir, you may begin.
George Colony: Thanks for listening in on Forrester's 2018 Q1 conference call. I will give a short update on our progress. Kelley Hippler will brief on the sales organization and then Mike Doyle will give a financial review for the quarter. In the fourth quarter of 2017, the Company showed good progress as I reported on the February call. Retention rates, Enrichment rates and bookings in our user business showed strong growth. In the first quarter of 2018, Enrichment rates continued to climb and agreement value increased 4%. That said, the growth we saw on retention rates and bookings in Q4 attenuated in Q1. However, we do not believe this represents a trend and we project to be on track to attain our 2018 plan. As I reported on the year-end 2017 call, our user business continues to expand. We focused on nine user industries. Financial services, wealth management, life insurance, banking, utilities, government, order, retail and health insurance. These vertical markets fall into what we call our ideal client profile. Markets spaces that are most impacted by age of the customer dynamics. Customers in these markets tend to be the most demanding. Our premier and core channels are progressing to specialize in these markets. Our lead development and lead creation systems focus on generating opportunities in ICP companies. In fact our data is showing that these verticals have a shorter sales cycle, higher average transaction size and longer life time value than our other user clients. In Q1, 77% of our user bookings were in these industries outpacing growth in the non-ICP client base. Technology spending in these companies and in the general user market is robust. Forrester just released its worldwide text betting analysis which predicts that the global tech market will grow 5.1% in 2018 and that’s the highest growth we’ve seen since 2011. Total spending on business technology, this is the technology deployed by large companies to win, serve and retain customers has now grown to 29% of total worldwide text spend. BT will constitute 55% of new project spending in 2018 and as you know Forrester specializes in BT and not in the slower growing back-office segment of the tech market. We are also seeing increased growth in tech spending by Chief Marketing Officer’s, a role that Forrester targets with its research. Vice President and Principal Analyst Shar VanBoskirk’s team at Forrester predicted CMO’s tech spending will have a compound annual growth rate of 9.6% through 2022, and that’s nearly twice the rate of spending in traditional IT organizations. As spending on technology and marketing expands, collaboration between CMO’s and CIOs will become increasingly critical, and this is the space where much of our research and consulting is centered. Before I hand the call over to Kelley, I wanted to give investors a window into a set of opportunities that we are exploring for future products. As I’ve alluded to on recent calls, we believe that organizations must now have the ability to measure and improve your experiences in real time. As examples, a messy restroom in a restaurant, or long TSA lines in an airport must be detected and remediated immediately to ensure that high customer experience is maintained. We are exploring services that can sense customer experience quality for companies, analyze that feedback to ascertain relevance, and then stream that data back to the company. This real-time customer experience cloud would incorporate a range of inputs from a broad spectrum of customers and sources. This product set would augment the customer experience index. The analytics that we have built in CXi over the last six years provide a means for analyzing data in the real-time CX cloud. Again, this work remains exploratory at present. We are currently experimenting with prototype products, testing with clients and surveying potential M&A opportunities. And I’m going to be updating on, on upcoming calls. So to conclude, while [momentous] load in Q1 is compared with Q4 of 2017, we remain on track to achieve our full-year 2018 plan. The market for advice and guidance needs of the customer remains strong, and there are many opportunities in this market that are still to be explored. Now I’d like to turn the call over to Kelley Hippler, who will update on sales and the client engagement model. Kelley?
Kelley Hippler: Thank you, George. Q1 was a busy quarter for the Forrester sales organization. In addition to hosting two energizing kick-offs in Boston for our North American and European sales teams, in Hong Kong for Asia-Pacific team, we continue to make progress with our customer engagement model stand up. Specifically, we added our Benelux and German teams into the model during Q1. In early Q2, we finished the stand up on the user side with the inclusion of the premier user teams in Southern Europe and Asia Pacific. Also, in North America, we realigned our premier user teams to be more vertically focused to better equip our sellers to help our clients with the complex transformations they are tackling around customer experience and digital transformation. This pivot also enabled us to accelerate the ICP work that is being led by our CMO, Victor Milligan. In Q1, we saw our premier user new business efforts accelerate in part as a result of focusing on the industries where Forrester is best suited to help businesses in the age of the customer. We continue to be encouraged by the results of the CEM. In Q1, we find uptick in our enrichment business over prior year, specifically on the premier user side where our client executives and solution partners are beginning to develop a solid cadence. Now that we’ve completed the standup of our premier user organizations and have built out our course selling motion, we will turn our efforts to operational excellence for the remainder of 2018. We’ve made great progress in our efforts to optimize sales territory, our sales analytics team is transforming the insights that we provide to not just focus on rearview mirror analysis about what happened in a prior period, but also to become more predicted and ultimately more prescriptive to guide our sellers and to ensure that we are maximizing the investment that’s been made in both our premier and core selling motions. With that, I would like to turn the call over to Mike Doyle to review our Q1 financial results.
Mike Doyle: Thanks very much, Kelley. I will now begin my review of Forrester’s financial performance for the first quarter of 2018, including a look at our financial results, the balance sheet at March 31, our first quarter metrics and the outlook for the second quarter of 2017. Please note that the income statement numbers I’m reporting our pro forma and they exclude the following items. Stock-based compensation expense, immunization of intangibles and net gains and losses from investments. For 2018, we are utilizing an effective tax rate of 31% for pro forma purposes. For the first quarter of 2018, Forrester met revenue guidance, but fell short of pro forma operating margin and earnings per share guidance. Revenue was at the lower end of our guidance, driven in part by a larger than planned impact from revenue rule changes as well as lower than planned growth from our syndicated offerings. Expenses were in line with expectations on a currency adjusted basis, and reflect ongoing investments in the business. The guidance miss on margin and EPS was driven primarily by the larger than planned impact of revenue rule changes and the net impact of currency volatility in the quarter. We do not expect this will impact our full-year earnings per share. Now let me turn to a more detailed review of the first quarter results. Forrester’s first quarter revenue increased by 1% to $77.7 million from $77.2 million in the first quarter of 2017 as reported and decreased 1% on a currency adjusted basis. Excluding the impact of new revenue rules, which reduced first quarter revenue by $2.3 million, revenue growth was 4% for the quarter 2% on a currency adjusted basis. First quarter research services revenue was essentially flat to prior year at $51.7 million as reported and did decrease 2% on a currency neutral basis. Research services revenue represented 66% of total revenue for the quarter. The impact of the new revenue rules was primarily felt in our research services revenue. First quarter advisory services and event revenue increased by 2% to $26 million from $25.5 million in the first quarter 2017 and increased by 1% with constant currency and represented 34% of total revenue for the quarter or international revenue mix was 25% up three points from 22% in the first quarter of 2017 and increased by 1% with constant currency and represented 34 % of total revenue for the quarter. Our international revenue mix was 25%, up three points from 22% in the first quarter of 2017 and up two points on a constant currency basis. I’d now like to take you to the product activity behind our revenue, starting with Forrester Research. Forrester’s published research and decision tools enable clients to better anticipate and capitalize on the disruptive forces affecting their businesses and organizations. We believe Forrester Research provides insights and frameworks to drive growth in a complex and dynamic market. In the first quarter of 2018, Forrester’s research library included 46 playbooks, the addition of 378 new documents and we hosted 27 webinars for our clients. Research revenue declined by 2% for the first quarter of 2018, driven mainly by revenue rule changes that had a predominant impact on this product. Onto our Forrester Connect offerings, which encompass our leadership boards and executive programs? Forrester Connect services are designed to help clients connect with peers and Forrester’s products and professionals and to coach executives to lead far-reaching change within their organization. As of March 31, 2018 Forrester Connect had a total of 1,401 members down 1% compared to last year and down 3% to the fourth quarter of 2017. Connect revenue increased by 8% compared to the first quarter of 2017, driven by growth in our CIO and CMO executive programs, as well as optimizing pricing in our leadership boards business. Our analytics products and services are designed to provide fact-based customer insights to our clients. Clients can leverage our analytics products and services or choose to have us conduct custom data analysis on their behalf. As we discussed on previous calls, we are on a path to redefine the value proposition and capabilities of our analytics products. Our focus is on moving to delivering more insights and analytics in real time to our client via new platforms and new vehicles of content delivery that are based on our clients evolving needs. For the first quarter, revenue decreased by 7% driven primarily by a decline in our custom data business Forrester Consulting, which includes our advisory and consulting services saw a total revenue for the first quarter increase 5% compared to prior year. Utilization rates improved across the board, driven by continued strong backlog development across our portfolio of advisory and consulting offerings. Forrester events, we had no events in the first quarter of 2018, though we remained pleased with how ticket and sponsorship bookings are progressing for our 2018 lineup of forums. I will now highlight the expense and income portions of the income statement. Operating expenses for the first quarter increased by 8% as reported and 6% on a currency adjusted basis and were $77.9 million compared to $71.8 million in prior year. Cost of services and fulfillment increased by 10% as reported and 7% with constant currency due to higher headcount, merit and increase professional services. Selling and marketing expenses increased by 8% and increased by 5% with constant currency driven by higher headcount and merit increases. General and administrative costs increased by 6% and increased 4% with constant currency due to merit increases and higher professional services costs. In addition, we previously indicated that we were increasing initiatives spending in 2018. Spending is impacting all categories and is in line with what we targeted. Overall headcount is flat compared to the first quarter of 2017 and down 1% compared to the fourth quarter of 2017. At the end of the first quarter we had a total staff of 1,379 including product advisory services staff of 524 and a total sale force of 519. Products and advisory services headcount increased by 2% compared to the first quarter of 2017 and increased by 2% sequentially. Total sales force decreased by 3% compared to the first quarter of 2017 and decreased 4% sequentially. Operating income was a loss of $139,000 compared with income of $5.4 million in the first quarter of 2017. Other income for the quarter was a negative $118,000 compared to $9,000 in the first quarter of 2017. Net income for the quarter was a loss of $177,000 and earnings per share was a loss of a penny on diluted weighted average shares outstanding of $18 million compared with net income of $3.2 million and earnings per share of $0.17 on 118.5 million diluted weighted average shares outstanding in the first quarter of 2017. Now let's review the Forrester's first quarter metrics to provide more perspective on the operating results for the quarter. Agreement value, this represents the total value of all contracts for research and advisory services in place without regard to the amount of revenue that has already been recognized. As of March 31, 2018 agreement value was $246.4 million up 4% from the first quarter of 2017 and up 4% on a constant currency basis. As of March 31, 2018 our total for client companies was 2,349 down 3% compared to last year and down 2% compared to last quarter. Client count, unlike our retention and enrichment metrics is a point in time metric at the end of each quarter. The client count decline is the result of lower retention of our small vendors which also contributed to the softness in our syndicated bookings during the quarter. Forrester's retention rate for client companies was 75% as of March 31, 2018, down one point compared to last quarter and up one point compared to last year. Our dollar retention rate was 88%, flat compared to last quarter and up one point compared to last year. Our enrichment rate was 98% for the period ending March 31, 2018, up to two points compared to last quarter and up four points compared to last year. We calculate client and dollar retention rates and enrichment rates on a rolling 12 month basis due to the fluctuations which can occur between quarters with deal that close early or slip into the next quarter. The rolling 12-month methodology captures proper trend information. Now I'd like to look at and review the balance sheet. Our total cash and marketable securities at March 31, 2018 was $136.3 million, which is an increase of $2.2 million from $134.1 million at year-end 2017. Cash from operations was $7.8 million for the quarter as compared to $19.5 million in the first quarter of last year. Primary reason for the decline versus prior year is a system change we discussed on the last call that was implemented in the beginning of this year. This delayed billings in the first six weeks of the quarter which resulted in slower cash collections. We expect to be back on track with significant improvement in first half cash from operations in line with targeted levels and prior-year. We received $2.5 million in cash from options exercised and our ESPP program for the quarter as compared to $2.7 million in the first quarter last year. We purchased $4.4 million of our stock during the first quarter and we paid a dividend of $3.6 million or $.20 per share during the quarter. Accounts receivable at March 31, 2018 was $62.2 million compared to $70 million as of December 31, 2017. Our days sales outstanding at March 31, 2018 was 73 days compared to 65 days at March 31, 2017, and our accounts receivable over 90 days with 8% at March 31, 2018 compared to 7% at March 31, 2017. Deferred revenue at March 31, 2018 was $155.4 million, a decrease of 1% compared to March 31 of 2017 and a decrease of 2% on a constant currency basis. However adjusting for the effect of the new revenue rules deferred revenue would have increased approximately 5% on a constant currency basis. So recap, absent of larger than planned impact of the new revenue rules and FX volatility the first quarter financial results met our expectations. In addition we continue to make good progress completing the rollout of our customer engagement model and optimizing our selling motion which is driving improved enrichment spent with our existing clients. We are investing in further digitization of our products and services to create a better client experience and attract new clients the Forrester. We enter the second quarter with a healthy backlog of business in our consulting and advisory businesses. We remain committed to execute the plan we develop for 2018 and beyond, this result in delivering our guidance for 2018 accelerating growth in both top-line and bottom-line performance for 2019. Now let me take you through these specifics of our guidance of the second quarter and full year 2018. As a reminder, our guidance excludes the following; amortization of intangible assets which we expect to be approximately 200,000 for the second quarter approximately 700,000 for the full year 2018. Stock-based compensation expense of 1.9 to 2.1 million for the second quarter and $8.38 million to $8.8 million for the full year 2018 and any investment gains and losses. Forrester is providing second quarter 2018 financial guidance as follows; total revenues of approximately $92 million to $95 million, pro forma operating margin of approximately 9.5% to 11.5%, pro forma effective tax rate of 31%, pro forma diluted earnings per share of approximately $0.37 to $0.41. Our full year 2018 guidance remains unchanged and is as follows; total revenues of approximately $352 million to $360 million, pro forma operating margin were approximately 10% to 11%, pro forma effective tax rate of 31% and pro forma diluted earnings per share of approximately $1.38 to $1.45. We provided guidance on a GAAP basis for the second quarter and full year 2018 in our press release and 8-K filed today. Thanks very much. Now I'm going to turn the call back over to the operator for the Q&A portion of our call.
Operator: Thank you. We will now begin the question and answer session. [Operator Instructions] Our first question comes from Tim McHugh from William Blair. Sir, your line is open.
Tim McHugh: Thanks. I guess firstly, just one broadly I guess, ask about for lack of better term in the momentum in the business in first quarter versus a kind of the fourth quarter, I recognize there's some noise in the reported metrics because of the accounting, but it also sounded like bookings were softer, I guess this new bookings kind of tell us what that was and then talk it all about broader why I guess kind of more softer what you attribute to in the first quarter?
Mike Doyle: Tim, it's Mike. I'm going to just cover something briefly and then I'll let Kelly go deep into the booking side of the equation. I think that as we rolled in, if your member our revenue number in that fourth quarter, year-over-year was high, and we talked about at that point that we expect it to be softer in Q1 due to one in expectation of there were changes in the revenue accounting rules which we underestimated a little bit and ultimately we get that back. Also the fact that we pulled in some in the fourth quarter some activity in consulting and advisory and reprint revenue that that we wouldn't see, so that's the piece of the story, and I think, I'll let Kelly touch on some bookings momentum and talk about kind of where we're going from there.
Kelley Hippler: Great. Thanks, Mike. Tim, this is Kelley. I think to the point that Mike raise, we had a strong push at the end of Q4 and drained our pipeline pretty substantially. So we were a little slower getting out of the gates in Q1 than we would have like. What I can say is as the quarter progressed the pipeline got up to a healthy level just not necessarily where they needed to be for March, but we're very optimistic about where we're tracking for Q2 and as Mike mentioned, there is no change in the overall guidance for year. I think it's more of just the timing issues.
Tim McHugh: Okay.
George Colony: Tim, it's George. Let me add little more color. It was driven to an extent by the number of rules of some small vendors which for us was kind of a new one and we think they may have them because we're now in the fourth – it was a fourth year of being into the customer strategy focused on BT versus back office and we were talking today and we think that some of these vendors it is still that transition going on in not in the large vendors, large vendors are doing great but in the smaller vendors that transition still persists, I think we're getting at the end of this point. So that's another fact. It was another factor in Q1. Do you agree?
Kelley Hippler: Yes. I would agree with that George. To that point there we do still have some smaller vendors that return who were coming to us with some of that back office coverage, but we have met with our folk and research and we know that has dwindled down, so we don't expect that to continue.
Tim McHugh: When you're saying vendors, are these traditional technology vendors or more on the advertising kind of marketing side of the vendor?
Kelley Hippler: More your traditional technology vendors, yes.
George Colony: Who would have been on the back office side, Tim?
Tim McHugh: And saleforce wise, I thought the broader plan was to be accelerating saleforce there so, I think [the common] that was down sequentially as well as year-over-year. Can you talk about that or is turnover picking up?
Kelley Hippler: Sure. I'd happy to cover that one. So, in terms of the salesforce headcount, this gets back to the conversation about territory optimization. So as we build out our analytics team here, we've done a lot of analysis around the territories that we had in place. And what we saw was that a number of our sellers were in territories that were not fully optimized, and our focus is been on driving productivity as oppose to adding headcount. So, as of right now we're on track with what we plan, and as we continue to move forward the plan will be to add additional headcount backend. But we thought it was much more important to make sure that the folks we had were set up for our success and then we will expand as we go forward. I would also add that with the movement to the customer engagement model because the day-to-day engagement is now being handled by the CFM we're also seeing that our client executives who are traditional quota carriers are able to run and manage a bigger book of business which over time will help us to bring the cost of sale and service in line with where we want to get it to in the longer term.
Mike Doyle: Yes. I think that just go back to, Tim, in the February call, I did talk about because Kelley was in Asia doing this, but I didn't talk about that. We were focused more on rightsizing territories and getting that piece right and that our expectation was best case probably very low single-digit headcount growth in 2018. So I don't -- this is never for the year expected to be even mid-single digit growth. Its can be a low single-digit growth with the focus on productivity.
Tim McHugh: Okay. Thank you.
Kelley Hippler: Thank you.
Operator: Our next question comes from Vincent Colicchiot. Your line is open.
Vincent Colicchio: George, much heard [Indiscernible], but could you share some additional metrics in terms of the progress with the new sales model in terms of where it's been in place for several months?
George Colony: We're re-able to hear for you, how about that through some of the metrics. Are you taking first, Kelley?
Kelley Hippler: Sure. I think as Mike spoke to one of the areas where we've seen the most immediate impact has been on overall AV growth and you'd see that that's up year-over-year eventually. And that's where we have the most immediate impact on the model. We did see an uptake in enrichments over this past quarter as well. So those are sort of two dimensions that we're really focused when it comes to the premier organization. And as we talked about, Mike mentioned we have 4.1% AV growth year-over-year and then enrichment was also up this past quarter.
George Colony: Let me move on pretty closely, Vincent, we call it engagement, but its kind of a complex equation around exactly how -- what the client, how the clients are working with us? And when decline in – with the customer engagement model we were able to drive all those metrics up because we found if is -- I won't go in great detail. If the client engages in force specific activities they will tend to renew in higher rates. So it’s average here for us of higher renewal rate and we're seeing uptick in all those metrics that should increase very well. We were seeing an increased renewal rates when the renewal -- at renewal time. So those metrics are also heading in the right direction.
Vincent Colicchio: And then on the small vendor side did you start to see that the losses abate as the quarter progressed? What does that look like?
George Colony: I think Vince. Right now…
Vincent Colicchio: I'm going to put my question is as you know you said that you expect the situation improves. I'm just wondering is that correct?
Mike Doyle: I think first of all, there's some back drop. We always have churn in small vendors and that's been the case historically, so highest beta customers and that part is not unusual. I think what was a little bit surprise to George's point is it -- it felt like it was higher than normal. And so the expectation and the game plan, we're doing the deep dive, I think there's hypothesis that says and I think George's view on other is that, this is just the tail end of people who were really weren't ask for something other than AOC research and that's migrating away. And I think that's pieces of story. And then the other piece is, we also – it was a busy quarter transitioning and we've ramped up a new organization in Nashville, so the folks that focus on that, there is still coming up to speed. So we're exploring other things we can do there to maybe enhance the value proposition first of all. Vendors will get that back moving in the right direction. They'll be more discussion about of that certainly in the next call. It's very something that we're looking to bring back on track.
George Colony: And Vince, so last year we redesigned our vendor portfolio, in another word in research, this is how we analyzed vendors. And we had very good coverage and what we call the [new tech] vendors, in other words the traditional vendors. We've launched over the last six months whole new stream of research what we called new tech vendors. These are smaller vendors who are coming into the BT space, and this year we're going to be covering an additional 600 new vendors that we did not cover previously -- previous to this year. So I mean, with that we the guys is going to do is it get us more visibility with the vendors that we want and were matched to our strategy. So we're feeling good with where we're heading to.
Kelley Hippler: And then the all other parts that I would add to that as well is that renewal retention metrics that George has mentioned that we been using on the premier user side we're going to be taking and applying that methodology and we've been working on doing some analysis on the vendors to figure out what's the right amount of engagement that we can drive to proactively drive up those renewal retention rate. So between pivoting who are targeting to better align with our new research and being a little methodical and how we're managing those customers through the lifecycle we're confident that will get the retention rates back to where they were its not higher.
George Colony: It is so linked back I talked about the BT, 55% of all tech spending – new tech spending growth, 55% of it is not in back office, it is in the BT space and those are the 600 vendors, so therefore we see many more vendors in that BT space entering the market and that's what we're going to be recovering in our vendor portfolio.
Vincent Colicchio: On the connect side, the number of board members declined. I know you had no events in the quarter, but I'm curious have your expectations change for the year in that business?
George Colony: Now, I mean let's separate the two things. The connect business versus the event business. So the event business is separate from connect. So event business no planned events during the first quarter. We've got seven schedules the second quarter? The connect business which is composed to both our executive programs and our leadership boards, executive programs doing well, good quarter. Leadership boards, we saw a decline in client count, but better optimization on pricing and I think there's been an attempt to both rightsize and optimize what we're doing in that business. So revenue overall was up 8%. But we're continuing to try and refine and look at the value proposition as it relates to connect to really try and accelerate growth in that business. So that can even though the revenues are growing we'd like to see that grow faster so that continuous to be a work in progress.
Vincent Colicchio: Okay. Thanks for answering my questions.
George Colony: Thanks.
Kelley Hippler: Thank you.
Operator: [Operator Instructions] We do have question from Allen Klee. Sir, your line is open.
Allen Klee: Yes. Hi. You guys have spoken in the past that the plan to reinvest some of the tax savings into new digital and some new products and your people. Could you talk a little about kind of what's going there and then how you see the return you can get from that? Thank you.
George Colony: Allen, George here. I would look at two areas. One is we are spending money in time and thinking in the revision of our research product. Let's the reports were been selling for decade. You know, to be known as Beijing is to understand that even business readers are reading differently, they are consuming differentially, they want to connect differently, so there's a lot of who are spending money there and doing lot of work in – we call it digital business transformation. So I think just the revision research, one. The second is just other areas that talked about this real time customer experience cloud. We are – spend a lot of dollars, I'd say most dollars are coming through BT but also spending dollars there to build those experimental, those experiments, experimental products, how would we do this, how we would gather the data and to great extent on the analytics of that business, because you can get fee back, but it is – that was with Dunkin' Donuts recently and they were saying, we don't want a new wave of feedback coming at us. Our response that was throughout the analytics that we have in [Indiscernible] index we're able to tell what feedback is important. When feedback can be ignored? So that's really – that about gathering data but also analyzing it. So that's the second area. And then the third area is some of out legacy data products. We're spending money there to make them fully digital and we've now gone through, I think two iterations for the customer experience in next of digital, but also spending money on that space, so those are the one, two, three spaces where that money is going.
Allen Klee: Okay, great. And could you just remind us of what you've said in the past have kind of new versions of product or where new products that you're planning to rolled out in 2018?
Mike Doyle: Well again just to iterate one would be potentially this customer experience, this real-time experience in cloud space. So I'm not announcing anything today, but I would say watch this space. And the second is, I don't think you're going to see any new products until the end of the year, but I'm not sure that we've talked this on calls, but we call the [atomization] we take all of the research that we've created and to be able to parse that out to understand exactly what a client is and what they need. And then to figure exactly what we have in our research and match those up. So we – the term we use internally is – we call just atomization of our research. Again, driving the return here is more relevancy, trying to get it faster therefore higher satisfaction, therefore higher renewal rates. If you want to add something but…
Allen Klee: That's great. And then my last question you've kind of talk on but maybe if I could just hear it in a simple way of if the results under performed a bit in first quarter what are the key factors that give you confidence that keeping your guidance for the full year?
Mike Doyle: In terms of just bridging the first quarter Allen, if I look at, I think we in the fourth quarter we talked about, we estimated the impact of the new revenue rules to be a $1 million in the first quarter, it turns out it was about $3.3 million, so some quick math on that. You can see what it does to top line which pushes sort of the lower end of revenue guidance and it's about little over $0.03 in terms of the earnings impact. And then the FX volatility was another penny that's $0.04, so absent those things we're sort of mid range on revenue and within our EPS guidance. The revenue recognition rule, this is a just a temporal thing, it’s a timing thing. Those things come back. We're going to see a meaningful amount in the second quarter. And by the end of the year we are washed. It just the way that its accounted for us little different this year. So you'd take that out of the equation that's going to come back to us. It's difficult to predict FX -- foreign exchange volatility, but we'll do our best to manage that. If it gets more stream we'll look at hedging, but right now I think I'm comfortable that's not going to be material. So you take them out and basically the first quarter is about that where we wanted to be from George standpoint, I'll let Kelley talk little more about where she sees moment in from a booking standpoint and things like that.
Kelley Hippler: Great. Thanks Mike. So in terms of on the selling we're pretty much watching the pipeline on a daily basis some days multiple time and the overall health of the pipeline we're just seeing that some of the pipeline we would have needed in Q1 to get to where we wanted to be was just a little bit delay, but conversion rates are actually improving and our cycle times are improving, so those coupled with the robust pipeline and the number of reps that were hired new to Forrester for last year will be getting their strides as they hit their anniversary mark leave us confident that we'll get to the overall plans for the year.
Mike Doyle: Our pipe is looking very good.
Allen Klee: Okay, great. And then maybe your number of clients has been going down, is that something that needs to be turnaround for everything to work or could you make it up in another ways?
Kelley Hippler: I'd say, a bit of both, in an ideal world, yes, that would be heading on an upward trend. But what I would say is and going back to what George was talking about related to the ICP side. We're much more concerned and focused with driving those extend within those account and the share of wallet within those that [Marketo] ICP then we are potentially turning some of the lower value accounts that we have. So absolutely we like to see both trending up, but a lot of the accounts that we're losing are lower dollar value not aligned to the ICP that have us not as concerned as we might otherwise be.
Mike Doyle: And you also see investment going up, you also see investment up, Allen which is – which means, our legacy clients as you know that, if you look at the top 20 user clients, the force of their average tenure 17 years those accounts are spending more money with them. And that's been driving by the [Indiscernible].
Allen Klee: Excellent. Thank you so much.
Mike Doyle: Thanks Allen. Appreciate it.
Kelley Hippler: Thank you
Operator: And we have no further questions at this time and I would like to turn the call back over to Mike Doyle for closing comments.
Mike Doyle: Yes. Thanks very much everyone for joining us on the call. We plan to out in the market during the year, second quarter I look forward to seeing each of you. So thanks again and we'll talk soon.
Operator: Thank you ladies and gentlemen, this concludes today's conference. Thank you for your participation. You may now disconnect.